Operator: Thank you for standing by, and welcome to the Telkom's First Quarter of 2016 Results Conference Call. [Operator Instructions] I must advise you that this conference is being recorded today, the 3rd of May 2016. 
 I would now like to hand the conference over to your first speaker today, Mr. Andi Setiawan, Vice President of Investor Relations. Please go ahead, Mr. Setiawan. 
Andi Setiawan: Thank you for standing by. Ladies and gentlemen, welcome to PT Telkom Indonesia First Quarter 2016 Conference Call. We released our results on April 22, 2016, and the reports are available on our website, www.telkom.co.id. This presentation is available on the webcast. An audio recording will be provided after the call for the next 7 days. There will be an overview from our CEO. And after that, all participants are given the opportunity to participate in the Q&A session. 
 Before we start, let me remind you that today's call and the responses to the questions may contain forward-looking statements within the meaning of safe harbor. Actual results could differ materially from projection, estimations or expectation voiced during today's call. This may involve risk and uncertainty and may cause actual results to differ substantially from what we discussed in today's call. Telkom Indonesia does not guarantee to any actions, which may have been taken in reliance of the discussion held today. 
 Ladies and gentlemen, it's my pleasure to introduce you the Telkom's Board of Directors who are joining with us today: Mr. Alex J. Sinaga, as President, Director and Chief Executive Officer; Mr. Harry M. Zen, as Director of Finance and Chief Financial Officer; Mr. Abdus Somad Arief, as Director of IT, Network, Solution and Chief Technology Officer; Mr. Honesti Basyir, as Director of Wholesale & International Services; Mr. Dian Rachmawan, as Director of Consumer Services; Mr. Indra Utoyo, as Director of Innovation & Strategic Portfolio; Mr. Muhammad Awaluddin, as Director of Enterprise, Business Services; and Mr. Herdy Harman, as Director of Human Capital Management. Also present, Board of Director of Telkomsel: Mr. Ririek Ardiansyah, as President, Director; Mr. Heri Supriadi, as Director of Finance; and Mr. Edward Ying, as Director of Planning & Transformation. 
 Before Alex delivers his remarks, I will take this opportunity to give a brief overview of Telkom Indonesia. Telkom is the single largest integrated telecommunication company and network provider in Indonesia. Telkom provides a strong business portfolio of types: telecommunication, information, media and entertainment, directly or through its subsidiaries. We also deliver services to multi-customer portfolio in retail, enterprise and wholesale. As of March 31, the majority shareholders of Telkom was the Government of Indonesia, with 52.6% ownership; and the remaining 47.4% is, of course, under public ownership. 
 I now hand over the call to our CEO, Mr. Alex J. Sinaga, for his overview. Alex, the time is yours. 
Alex Sinaga: Thank you, Andi. Good afternoon, ladies and gentlemen. Welcome to our conference call for first quarter 2016 results ended March 31, 2016. We sincerely appreciate your participation in this call. Ladies and gentlemen, Telkom recorded a remarkable achievement with triple double-digit growth in revenue, EBITDA and net income of 16.6%, 18.8% and 20.3% year-on-year, respectively. We also successfully maintained healthy level of profitability with EBITDA margin of 53.2%, improved from 52.2% in the first quarter last year. The income margin was reported at 16.7%, increased from 16.2% last year. Data, Internet and IT Service remained the biggest revenue contributor, with 37.4% of total consolidated revenue and increased 45.1% year-on-year. 
 In the meantime, our expense increased by 11% year-on-year, lower than revenue growth, driven by operation and maintenance and personnel expenses. Operating and maintenance expense accounted for 43% of total expenses, grew by 22.3%, in line with the aggressive network deployment both in our cellular and fixed-line businesses, in particular, to support Digital Business growth. While personnel expense increased by 29.5% year-on-year as we simplify salary payment method by disclosing quarterly incentive and other benefits into monthly salary proportionally and bonus in line with the company's performance. 
 Our strongly results in first quarter of 2016 was in line with the solid performance of our cellular business. Telkomsel gained 1 million net additional customers during first quarter of 2016; grew total customer base to 153.6 million, increased dramatically, highest SIM card penetration. Telkom continued expanding its network infrastructure by adding 7,223 new BTSs during the quarter, with around 90% consist of 3G and 4G BTSs. It is reflecting our focus on growing in Data business. 
 Mobile data payload significantly increased by 89.6%, driven by strong growth in 3G- and 4G-capable device adoption, which increased 47.9% (sic) [ 47.5% ] year-on-year to 64.5 million users. 
 Ladies and gentlemen, Telkomsel continued its strong momentum in the first quarter 2016 by delivering another triple double-digit growth, where revenue grew by 17.8%; EBITDA, 26.5%; and income, grew by 33.9% year-on-year. 
 Digital Business has remained our engine of growth as a result of leading network supply strategy. This segment recorded strong performance, with 48.7% year-on-year growth to IDR 6.9 trillion and subsequently increased its contribution to total revenue to 34% from 27% last year. Digital Business's growth was mostly driven by healthy growth in 3G- and 4G-capable device adoption.
 We also successfully maintained healthy level of profitability, with EBITDA margin of 53.2%, improved for -- from 52.2% in the first quarter last year. And net income margin was recorded at 16.7%, increased from 16.2% last year. 
 Data and Internet -- Data, Internet and IT Service remained the biggest revenue contributor. Excuse me, let me repeat again the last paragraph. Yes, okay? Ladies and gentlemen, I will repeat the last paragraph. 
 Telkomsel continue its strong momentum in the first quarter 2016 by delivering another triple double-digit growth, where revenue grew by 17.8%; EBITDA, 26.5%; and income grew by 33.9% year-on-year. Digital Business remained our engine of growth as a result of leading network supply strategy. This segment recorded strong performance, with 48.7% year-on-year growth to IDR 6.9 trillion and substantially increased its contribution to total revenue to 30% (sic) [ 34% ] from 27% last year. Digital Business growth was mostly driven by healthy growth in 3G- and 4G-capable device adoption, successfully migration of Pay As You Use, let me call it PAYU, to Flash package as service continued strong growth in data payload. Our focus on Digital Businesses was reflected from our prime quality network infrastructure, which are developed and modernized on continuous basis. 
 On the other hand, Telkomsel could maintain healthy growth in Legacy business, with voice grew by 8.9% year-on-year; and SMS, by 4.8%. Voice revenue growth was mainly attributable to higher voice traffic; while for SMS, the decline in traffic was offset by higher price as a result of smart cluster-based pricing. Our 4G LTE deployment is on demand basis. They're taking into account 4G handset penetration and level of demand in growth densities. We have deployed more than 4,000 4G BTSs in 100 cities across Indonesia and recorded 3.1 million customers that have swapped to using, to utilize 4G service. Telkomsel's total BTS owner reached 110,000 units at the end of March 2016, with 56% were 3G and 4G BTSs. In the meantime, we continue to aggressive rollout in fixed broadband business with our flagship product, IndiHome Triple Play, supported by around 4,300 technicians. We added 286,000 new subscribers during the quarter. And as of March 2016, we already have 1.35 million IndiHome customers. Combined with non-IndiHome, we total fixed broadband customer of 4.2 million. 
 Ladies and gentlemen, we are still in progress to complete our Indonesian digital network program. On the backbone side, during the first quarter, we successfully laid down additional 320 kilometers fiber optic backbone cable. And total fiber backbone now reached more than 82,000 kilometers connecting from Aceh to Papua. We are also in the process of launching TELKOM-3 satellite and also has kicked off the preparation for TELKOM-4 satellite. We expect TELKOM-3 to be launched by the end of this year; while TELKOM-4, in the second quarter of 2018. 
 Meanwhile, on the access side, we have around 10 million fiber home passed that further will be monetized through IndiHome Triple Play. 
 In international aspiration, although we remain focused on domestic market, we continuously seek opportunity in the regional market to strengthen our international footprint. Regarding with the acquisition of GTA Teleguam, the plan is still being evaluated by United States authorities. 
 Ladies and gentlemen, on 22nd April 2016, we held Annual General Meeting of shareholders. Two of the key decisions were made: number one, dividend payout was maintained at 60%; and number two, there was management change as we have new Finance Director, Mr. Harry M. Zen, replacing Mr. Heri Sunaryadi; and new commissioner Mr. Pontas Tambunan, replacing Mr. Parikesit Suprapto.
 Now let me reiterate guidance for 2016 as we're up. With strong set of result in first quarter 2016, we expect both Telkom and Telkomsel's revenue to grow better than market's rate by continuing effort to increase Digital Business revenue. We estimate the industry will grow around 9% in 2016. Telkom growth will be on the back of strengthened mobile digital business and fixed-line businesses. For EBITDA margin, we expect to slightly decline both on Telkom and Telkomsel, in line with continued investment in broadband infrastructure both for mobile and fixed-line businesses; while consolidated capital expenditure spending for 2016 is expected around 22% to 25% of revenue, with investment focused on broadband infrastructure. Around 60% to 65% of CapEx will be allocated for mobile-related business; around 25% for fixed broadband-related business; and the remaining will be for other businesses. Finally, in terms of M&A aspiration, our inorganic growth initiatives is to enhance and increase Digital Business portion of Telkom Group, with guidelines of 80/20 rules, where 80% is representing digital or new wave portion of inorganic programs. 
 Ladies and gentlemen, that's ending my remarks. Thank you, and I give back to Andi. 
Andi Setiawan: Thank you, Alex. We will now begin the Q&A session. [Operator Instructions] Operator, may we have the first question, please? 
Operator: [Operator Instructions] Your first question today comes from Miang Chuen Koh from Goldman Sachs. It appears the participant has removed themselves from the queue. We move on to our next question from Arthur Pineda of Citigroup. 
Arthur Pineda: Just 3 questions from me. Firstly, on the regulatory side, is there any update with the interconnection changes? What's the risk that you could actually see asymmetric regulations that's coming in for Indonesia? Second question I had is with regard to your pricing. You mentioned your cluster-based pricing a while ago. I was just wondering, how different was your pricing be in Java versus the non-Java areas? And third question I had again is on the mobile side. Your peers have talked about network sharing, especially outside of Java. How would this actually impact you? And have you provisioned against any increase in competition in this side? 
Unknown Executive: Thank you. I want to answer your -- the first question regarding the interconnection regulation. Actually, until today, we still discuss with the government because the government, they didn't decide yet regarding the new formula about the interconnection. But the -- based on our discussion, actually, the government want to make the interconnection cost declines is around 10%, up to 20%, the cost. And I think although [indiscernible] discussed again regarding the impact into the industry. But we think maybe the regulation will be implemented is around start of June, I think, because we still discuss with government regarding the new formula. Thank you. 
Arthur Pineda: But is there any plans it will be asymmetric in terms of pricing? 
Alex Sinaga: The implication. 
Unknown Executive: The -- I think they'll be symmetric, the formula, yes, based on the discussion -- the rough discussion with the team of government. And the impact, I think, because the contribution of interconnection, especially for Telkomsel, around 4% up to 5%, yes. 
Alex Sinaga: Yes, on the growth. 
Unknown Executive: Yes, on the growth, look at that revenue. So I think it's -- and then that's around 1.5% to 2%, the impact. So I think if the -- if Telkomsel cost decline up to 10%, I think they still manage the industry, [indiscernible] to Telkomsel. 
Unknown Executive: On the cluster-based pricing, the difference between Java and non-Java is around -- maximum is around 60% in outside Java, highest is 60% in Java. Okay? And then the next question on the network sharing impact, so basically, the network sharing, as I think stipulated by the government, it is supposed to be done by a B2B regime. 
Unknown Executive: Non-mandatory. 
Unknown Executive: Non-mandatory. And if this mean depend on the availability of the capacity and so on, and then also, mostly, what we consider because we -- they block our network based on our needs, not really data plan on the sharing side [indiscernible] block for the current networks. Mostly, the sharing is supposed to be considered for the new network that will be build. So this one, still some time but impact to us. 
Arthur Pineda: Will spectrum sharing be allowed as well? 
Unknown Executive: Not, I guess. 
Unknown Executive: No. 
Alex Sinaga: Can you say it again? 
Arthur Pineda: Sorry, does it include spectrum sharing? 
Alex Sinaga: I think it's no. For the time being, it's only the network sharing. Spectrum sharing is not yet. 
Operator: We move on to our next question from Miang Chuen Koh from Goldman Sachs. 
Miang Chuen Koh: A couple of questions from me. One is on competition. Can you provide an update on the competitive landscape both for the mobile as well as the fixed broadband business? I think we have seen some of your competitors, for example, on the mobile side providing a lot more free data on their plans at this -- recently. And secondly is on margins. If you look at EBITDA margins for the first quarter, it's very strong. How sustainable is this for the remaining of the quarters because it's obviously tracking above your full year guidance? That's for me. 
Edward Ying Siew Heng: It's Edward. So first, on the mobile landscape of competition in Indonesia, so simply put, it's highly competitive, like you mentioned. Some of our competitors are offering free 4G data. You spend a certain amount of money, and then you go on 4G, you get a certain allocation for free. So I think that goes on because, as you know, 4G penetration handsets are still low compared with the total base that we have. So everyone is trying to capture that audience. And also, we've more or less blow up the network close to 3,000, 4,00,0, each of us, so that remains competitive. But having said that, as you can see, we continue to grow on the payload, continue to grow on advertising -- sorry, continue to grow on our Data revenue. So I see this is just a start to hook on more customers to the network. So that's on the 4G free data. On the 2G, 3G, I think, yes, this is too highly -- highly competitive. As you probably know, that our competitor, like XL, some of the areas where access is, they also lower their price. And this also, I think, that goes on, which has not changed like before. So in short, I think business as usual, win quite aggressively. Win -- it's win the trade and win the business. So I think all those do quite well in the first Q, and we hope to continue that. 
Unknown Executive: Mr. Miang, on the second question on the EBITDA margin, if you see the EBITDA margin on mobile, the last quarter is very strong. Some reason for this is one-off of the revenue because in February, we have 1 day more compared to last year. It is attributable around IDR 229 billion additional revenue for that one. And in the cost side, actually, we have one time of ERP last year by IDR 169 billion. This also, I think, not happened in this first quarter. This bring us to very good margin that we experience. But moving forward, it's -- we also believe that the competition in data, as mentioned by the CEO, and also as you -- as we've done in the -- I think, in the competition landscape, we still need to see what is the trend of the competition. If the competition can be, let's say, benign, quite calm like last year, we expect we can maintain the EBITDA margin around the same like last year was 56%. So whilst may be the EBITDA margin will slightly decline about 1%. So the -- basically, in overall, what we expect, we still can continue to beat the market growth, slightly higher than market growth. That will bring us -- we expect another triple digits basically. 
Miang Chuen Koh: Sure. Can I just quickly, a couple of follow-up questions. One is on ERP, right? I mean, for this year, when will we expect -- how much and which quarter, if you could give some guidance on that? 
Unknown Executive: Yes, we do have ERP program in 2016. It's going to be third quarter. And the budget maximum from -- at the max, similar with the same capital of previous years. 
Alex Sinaga: Plan to be executing in the same level. 
Miang Chuen Koh: Okay, third quarter. 
Unknown Executive: Yes, I will. 
Operator: [Operator Instructions] We take our next question today from Jack Tan Hang Ming [ph] from Sumi Trust. 
Unknown Analyst: I would just like to find out if -- what will be the changes that we can expect if the governments move to the spectrum auction compared to previously there was a beauty contest because there are some talks on it. Just would like to share -- to see if you can share some more -- the colors on that. 
Unknown Executive: Well, we have been preparing the -- some of the terms of the auction, whether is it going to be the same as what we had a couple [indiscernible] or if it's going to be more on the new way of auction. We have prepared some scenarios on it, and we do believe that we can have more spectrum [indiscernible]. We don't know yet when the auction will be had, but we believe it will be sometime this year. 
Unknown Analyst: Okay. Can we just get some color on what the government thought process on this? Should we be worried because maybe for overseas investors, we have looked at us, and Thailand was a big concern for us, and continues to be until May. So how should we read the situation for Indonesia if you can shed some color for us? 
Unknown Executive: We of course have to optimize the spectrum that we have for now and to maximize the throughput of our network. Yes, so we do need some spectrum at some point along the way, but we do believe we can survive until the end of this year before the additional spectrum [indiscernible]. 
Unknown Executive: If I may add this, but I think the auction process, we are not -- I know we talked clearly what the government intention is at the moment. It's actually -- this is an open or close option. We don't know, but it will come out sometime at the end of the year. So the question is asked, whether we are -- what would change the dynamic? Actually, I think the dynamic, I think there are few bidders who are going aggressively to bid, so we will also stay in the same way unless we are going in different frequency. We need the capacity, and I think we are in a good position due to our financial position and strength of our business. I think we should be able to give it a good fight to win the spectrum for the company. That's all. 
Operator: [Operator Instructions] We take our next question from Foong Choong Chen from CIMB. 
Choong Chen Foong: Three questions from me. Firstly, on your legacy SMS business, I noticed you mentioned in the info memo that your SMS banking and SMS advertising revenues were up almost 3x year-on-year. So I'm wondering whether this was significant enough to have driven your SMS revenues up or was it really the higher RP SMS that was actually driving up your SMS revenues in the quarter? 
 Secondly, for Telkomsel, so I mean, very big base station addition in the first quarter, especially for 4G. Should we expect a much bigger increase in the O&M cost from the second quarter onwards on the back of this big base station additions in the first quarter? 
 And then thirdly, my question on the personnel expenses. I just wanted to get some additional clarification on how you're going to be booking your personnel expenses across the quarter and the year? You said that you simplified the salary payment method, so does it mean that we should be expecting a more even booking of personnel expenses across the 4 quarters of the year? 
Edward Ying Siew Heng: So I would take the #1 question. This is Edward. I think you asked about digital advertising that whether it's incorporated into the legacy business. The simple answer is no. Digital revenue is booked under -- digital advertising revenue booked on additional revenue business, and there, we grow year-on-year 100%. So you could see there, that's why total revenue, digital revenue, including broadband to total revenue is 34% grown a year ago to about 27% before, something like that. So that number, I can verify, but 34%. So actually it's not. In short, advertising revenue grow because more and more people now want to use digital advertising. More contractual and more profile driven. So they know they are inside the customers, so we send them advertising. So our revenue actually has gone up. Is it a repeat? No, we are still developing, we are still very new to this business. It has true we grown year-on-year 100% for the last 3 years. So I think that's for all. 
Unknown Executive: For the second question on the BTS addition, no for 4G, so they expect bigger in operational maintenance cost. It is not necessarily that way because most of the 4G BTS will be recognized in the same BTS, and the same size that we have right now, which is our 3G BTS, our 2G BTS. Basically, the only additional on space and also antenna that maybe contribute about compared to the original cost is about 60% additional for [indiscernible]. 
Unknown Executive: So I'm responding to question of personnel expenses. Actually, the idea of simplification is just to make sure our salary, our remuneration is competitive in the market, so we just try to simplify. However, in terms of the numbers, yearly, that  is, it's relatively the same. So if we -- if you ask how we disburse on a quarterly basis, on this year, actually, under the new scheme, we just divide it into 2 elements, which is the fixed one in every quarterly basis and bonus on yearly basis, and the same amount in every quarter for the fixed one, and for the bonus, will depend on the achievement of the performance. Does that answer your question? 
Choong Chen Foong: Yes, yes. Can I just put in a follow-up question, additional question on the dividend payout? For the AGM, I mean, the payout ratio has been maintained at 60%. And obviously, your balance sheet is in a very strong position. So I'm wondering, going forward, any thoughts on maybe perhaps you could progressively raise the dividend payout ratio going forward? Maybe from the Board of Directors, is that something that you could propose, and from the shareholders point of view as well, would that be something that would be deemed to be favorable? 
Heri Supriadi: It's Heri here, the new CFO. Thanks for the question. Obviously, the dividend decision is within the domain of the government, being our biggest shareholder. Yes, we could propose, but at the end of the day, the decision comes from their side. 60% is actually, as you may be aware, is rather on the high side. If you compare with the other state-owned companies, maybe it's one of the highest. 
Operator: We now move on to our next question to Nathania Nurhalim from Macquarie. 
Nathania Nurhalim: I have one question on your voice operational results. So your voice minutes are still growing quite strongly year-on-year, although we saw one of your competitors volumes actually halved. So just wondering what you think is the main difference driving this contrast? Is there a difference in some strategy going on in the first quarter or is it just really because Telkomsel has a higher proportion of their subscribers outside of Java? 
Edward Ying Siew Heng: So firstly, I think we have a higher proportion of customers compared to the competition, and we're about -- we're still about 45%. Let's say, about 30%, 40% of our customer base are still mostly using voice, so that's one. And point number 2 is, also, we now try to bundle voice. You buy a package, and you can use the voice. So therefore, they also drive our MoU. Last, but not least, I couldn't tell you the client, but we have a very important customer that has a big number of base. They use a lot of voice call, so actually they are driven up as well. So in short, I think it's the package voice bundle that we sell, the customer that we acquire, and last but not least, we have a bigger customer base that drive up this [indiscernible] and on smartphone, and also, we have improve our network to provide for this as well. 
Unknown Executive: Yes. I think I may have some additional information on this one. First, we have the biggest network coverage across Indonesia. They're difference are stronger. Just -- and the second also, the quality improvement that we see for the past couple of years, really, profile has room for improvement for any opportunity at that level. I think that [indiscernible]  by the market. 
Operator: [Operator Instructions] We now move on to Jimmy Chen from Bernstein. 
Jimmy X Chen: Two questions. First, we've seen Indosat's mobile service revenue accelerating along with yours and also XL Axiata's revenue starting to climb back. Can you explain what is making possible for you and your competitors to grow revenues together? Are you taking revenue share from the small players or is there something else going on?
  And also, how do you see this trend? Is it -- would there be increasing competition? Do you see this positively or negatively? How do you see this kind of development? The other question is on the accounting side. I think, Q1, there's a big reversal in one of the nonoperational expenses items. The delta is around, I think, IDR 800 billion to IDR 900 billion. Can you explain what's causing that big reversal? 
Edward Ying Siew Heng: Jimmie, this is Edward. Let me take the first question, and if I hear you correctly, explain to me about the competition is it still aggressive? So I think I started the first answer to one of the investors or analysts that, actually, competition continued to be aggressive. That has not changed. So the fight continue at the ground, at the advertising above the line, targeted customers. I think that continues. 
 Then I think if I'm not wrong, your second question is, how do you continue to compete and can you win revenue from each other or take away from the small guys? Now, I think, simply put, it's like what I think our CFO had just mentioned, we continue to improve our network -- we continue to improve our network performance. With that, actually, customer now tend to make more call, can make more call, and that increased our usage, and it can reassure in our first quarter more voice call, more voice revenue. That's what happened. So that to me no easy fix, but we managed to somehow. Now going forward, where do we take our revenue? I think voice and SMS, as we get more and more smartphone user, then I think that you will see there's some impact on it. Our growth is, actually, we are looking at data, of which we are working on data customer, broadband customers. You can see we grow 48% of it year-on-year. So we are working towards to get more and more people to broadband to connect to the Internet to make YouTube, call and so forth. So that's one area of growth. The other area of growth is we are looking into the digital business that we tried. Not easy, but some were successful, like the gentlemen answers now, our advertising growth year-on-year 100% on revenue. It's quite substantial, but not big enough, but still quite substantial. So the other one we're working on will be to put a new revenue stream is the cash. They look at the growth M2M, IoT, where we introduced T drive [ph]. And this also our new services in the future, big data. So these are the new revenue stream that we look to grow, other than just basic voice and SMS. So we are seeing that, in short, we need to extend our business into M2M, more B2B. This is where we think there's new avenue of growth. Now obviously, the smaller players who don't have frequency who doesn't invest in the CapEx, I think they will slowly find that the customers are changing their lifestyle. They want to connect to the Internet. They want high speeds. They want good network, good backbone transmission. So I think we will take advantage of that to win the business across. So I think those are my short answer to you. I hope I addressed your concern. 
Unknown Executive: For the second questions on the expense, it was mainly due to the penalty that we have to pay for the early termination of our CDMA towers, the Flexi business that we decided to exit. The amount was around IDR 471 billion, so that's slightly more than 50% of the total. So the rest of the items include some tax expenses and other nonoperating expenses. 
Unknown Analyst: The penalty was paid this quarter or the quarter last year? 
Unknown Executive: This quarter, first quarter this year. Yes. 
Operator: [Operator Instructions] We now move on to question from Lucky Ariesandi from Yuanta. 
Lucky Ariesandi: I have 2 questions, basically. The first one is on Telkom's plan for Mitratel. I mean, after the cancellation of the deal with Tower Bersama, what's your plan for Mitratel, going forward? And also related to your tower asset, I noticed that you haven't exactly revalued your tower asset. I mean, I understand that back in fourth quarter 2015, there was like a mandatory restatement of tower assets based on the expected future cash flow, and I haven't seen it anywhere in your financial statement. 
 My second question is on Telkom's marketplace, blanja.com. I mean, I noticed that Telkom has so far opted to go for low-key growth for this particular business, and the acceptance and awareness of Telkom's marketplace is lagging behind the peers. What's your plan going forward for blanja? 
Unknown Executive: Thank you for the question. So regarding the plan for Mitratel, [indiscernible] is still expanding our tower business, as we believe tower is a productive business in the telco industry, in particular, for Mitratel to support Telkomsel. And we are still collecting all possible options to improve Mitratel performance, and also to unlock the tower value, but currently we're still in the evaluation. 
Alex Sinaga: I mean, [indiscernible] using to protect the towers. 
Unknown Executive: Yes, and we are still using the project to protect our stock in Telkomsel. [Foreign Language] 
Unknown Executive: I think our evaluation, most of the tower we discuss here is in Telkomsel. The government incentive on the tax benefit here will also give the consequences. If we do the evaluation of the tower asset, I'd say. Within 2 year, if we do kind of a corporate action such as we sell the tower, the incremental to the valuations subject to 25% of tax. So because we still keep that offset [indiscernible] above any corporate extent, we decide to not doing any asset evaluation on the tower end. 
Unknown Executive: Okay, yes. Regarding the -- our blanja.com services, we are now in the process of reevaluating our position, not only on blanja.com, but on e-commerce as a whole. And we are trying to maximize our subscribers and our group's asset for the e-commerce business. While waiting for the reevaluation, we are now in the process of improving customer experience, maximizing synergy with the group and also other state-owned enterprises and also developing mobile commerce apps and also developing logistic for e-commerce. As a group, having an integrated digital strategy is important, and e-commerce is a key part of our digital portfolio. 
Operator: We take a further question from Foong Choong Chen of CIMB. 
Choong Chen Foong: Just 2 more questions from me. Firstly, do you expect more penalty payments for early termination of the Flexi towers in the future quarters? And secondly, can you also provide what was your fixed broadband revenues in 1Q 2016? 
Unknown Executive: Yes, there could be some more penalty coming up later this year for the early termination. 
Choong Chen Foong: Do we know how much is that? 
Unknown Executive: We are still in the process of negotiating it with the tower [indiscernible] 
Choong Chen Foong: Okay. And your fixed broadband revenue? 
Unknown Executive: Yes, for IndiHome, the ARPU is around IDR 326,000, multiplied by 1.35 million customers. 
Choong Chen Foong: Okay. And for your balance of broadband subscribers? 
Unknown Executive: Yes, for the non-IndiHome premium customers, ARPU of IDR 110,000. 
Operator: [Operator Instructions] As there are no further questions at this time, I'd like to hand the call back over to you -- apologies, we're just receiving one further question from Miang Chuen Koh from Goldman Sachs. 
Miang Chuen Koh: A couple of follow-up questions for me. One is on the pricing for your voice and SMS, and that you have been raising that over time. Is there still scope for more increases as you see it going forward? 
 And secondly, on fixed broadband as well. From one of the conference calls from your competitors, it has been mentioned that the Telkom's IndiHome pricing is quite at a premium to theirs. Presumably, you're also considered higher than some of the other smaller competitors as well. How do you see that price, your pricing trends going forward? Will you be looking to potentially reduce prices even to be more competitive or not? 
Unknown Executive: So let me try to answer the first question. Actually, if you follow the best 3 -- actually, Indonesia data, voice, SMS prices are probably one of the lowest in Southeast Asia or Asia. I think, at times, it will be lower in India. So it's then, obviously, for us to decrease prices. Then I think the answer is simply would be yes, but I think we need to watch the competition, be mindful that we are not alone. We compete in the market. So we're sensitive to that, but also, I think there's room for improvement, as we can increase if we want, to because we are the lowest in this region. I hope I answered your question. 
Miang Chuen Koh: Yes. And on fixed broadband, I guess, if you could also talk a little bit? 
Unknown Executive: Let me address the question #2. In fact, it can be said that our service proposition is quite different to the other competitors. While they are offering not triple play, we are offering triple play services. So that's why we are able to offer higher price instead of competition. Thank you. 
Operator: Thank you. There are no further questions at this time. Mr. Setiawan, please continue. 
Andi Setiawan: Thank you, everyone, for participating in today's call. We apologize for those questions that could not be addressed yet. If you have any further questions, please feel free to contact directly. Thank you, everyone. 
Operator: That does conclude our conference for today. Thank you for participating. You may all disconnect.